Operator: Good day. All sites are now in the conference line in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session, and please note this call is being recorded. Today’s conference call contains forward-looking statements, as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings, for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. And now it is my pleasure to turn the conference over to James Perry, Vice President, Finance and Treasurer of Trinity Industries. Please go ahead.
James E. Perry: Thank you, Tasha. Good morning from Dallas, Texas, and welcome to the Trinity Industries fourth quarter 2009 results conference call. I am James Perry, Vice President, Finance and Treasurer for Trinity. Thank you for joining us today. In addition to me, you will hear today from Tim Wallace, Chairman, Chief Executive Officer and President; Steve Menzies, Senior Vice President and Group President of the Rail Group; and Bill McWhirter, Senior Vice President and Chief Financial Officer. Following their comments, we will move to the Q&A session. Mary Henderson, our Corporate Controller is also in the room with us. A replay of this conference call will be available starting one hour after the conference call ends today through midnight on Thursday, February 25. The replay number is 402-220-0120. Replay of this broadcast will also be available on our website located at www.trin.net. On December 31, 2009, we had total borrowings of $1.85 billion. Borrowings at the corporate level were $450 million of convertible subordinated notes, $201.5 million of senior notes, and $2.7 million of other indebtedness. We had no borrowings under our $425 million revolver. The leasing company’s debt included $1.17 billion of debt under long-term financing and $141.4 million outstanding under our $475 million railcar leasing warehouse facility for total leasing company debt of $1.31 billion at December 31, 2009. This compares to a book value for total leasing equipment of $2.85 billion, resulting in total leasing debt to total equipment on lease of 46%. At December 31, we had $333.6 million available under our railcar leasing warehouse facility and $335.4 million available under our revolving credit facility after accounting for $89.6 million in letters of credit. Combined with our unrestricted cash and short-term marketable securities balance of $681.8 million, our total liquidity was in excess of $1.35 billion at December 31, 2009. During the next 12 months through December 31 of 2010, our scheduled debt repayment commitment totaled $62.6 million. Our next debt maturity or renewal occurs in early 2011, when we will revisit our leasing warehouse facility. Details of future commitments and our debt can be found in our 10-K. In today’s call, you’ll hear us refer to the non-GAAP term EBITDA, a reconciliation of which was provided in our news release yesterday. For the fourth quarter, EBITDA was $100.3 million, and for 2009 EBITDA totaled $462.1 million. We remained well positioned with a strong balance sheet and solid cash flows. We've been very focused on these items to ensure we are positioned to capitalize on business opportunities as they arrive. On January 1, 2010, the company adopted the provisions of a new accounting pronouncement requiring the inclusion of the consolidated financial statements of TRIP Holdings and its subsidiaries in Trinity's consolidated financial statements. As a remainder TRIP is railcar leasing company formed in 2007. They purchased $1.285 billion of railcars from Trinity over a two year period. Trinity is currently a 28% equity owner of TRIP and serves as the manager of the railcar portfolio. You will see this inclusion beginning with the March 31, 2010 Form 10-Q. At December 31, 2009, TRIP had $1.056 billion in debt and has approximately 14,740 railcars with the book value of $1.227 billion. The debt is a short-term facility with interest expense of approximately $48 million in 2010. The debt will begin amortizing in June of 2011, unless refinanced before then. Refinancing TRIP is just one option available to the equity members and we will be working with them over the next year to determine the best solution for TRIP’s continued success. In note six of our 10-K that we will file after this conference call, we provide the estimated condensed pro forma effects on Trinity’s consolidated balance sheet as of December 31, 2009. Neither the activities of TRIP nor our role in TRIP created this change of presentation. It was simply due to new accounting pronouncements. TRIP’s debt remains non-recourse to Trinity and has no impact on our debt covenants. Bill will provide more detail on the impact of TRIP consolidation in his remarks. We did not purchase any Trinity shares during the fourth quarter under our share repurchase program. Now, here is Tim Wallace.
Timothy R. Wallace: Thank you, James, and good morning, everyone. During the fourth quarter, we continued to make significant progress in strengthening our liquidity. Diversification of our revenue and operating profit along with our strong liquidity provides us the ability to make strategic moves while our rail group navigates through the trough of its cycle. During the first quarter we completed our acquisition of Quixote Corporation, a leading manufacturer of highway products. This acquisition further strengthens and diversifies our portfolio. All of our businesses are doing a good job of making adjustments as demand shifts and changes. Demand is lowest for our rail group, the stability associated with our leasing business helps offset the drastic decrease in demand for new railcars. Our barge business has been able to obtain a steady flow of orders. Our wind towers business has made some changes in its production schedule to accommodate customers. Demand is most consistent for our businesses that produce highway products. Our backlog in highway products has been growing during the winter months. We expect to have a good construction season. We are looking forward to the successful integration of Quixote, we are changing Quixote's name to Energy Absorption Systems Inc. This is the name of their operating company, which is well respected by the industry. We see numerous integration opportunities that should benefit these businesses and their customers. We have admired Energy Absorption Systems line of innovative products and its global reach for years. This acquisition will expand our international markets and offer our customers a broader range of highway products. The recession is continuing to have a major impact on our railcar manufacturing businesses. Demand for new railcars is at a low point and the market remains highly competitive. Customers are obtaining very attractive pricing for railcars. During trough markets, our business leaders are very deliberate in pursuing specific orders that they believe will provide maximum benefits. They look for orders with low execution risk that require minimal production line setups. Our rail businesses are prepared for an extended downturn in the railcar demand. Fortunately our efforts to develop an integrated manufacturing leasing and services business reached critical mass before the recession. The stability of our leasing business is helping offset the dramatic decrease in revenues and profits experienced by railcar manufacturing related businesses. Our barge business had an excellent fourth quarter. Its performance during 2009 is a good example of how our businesses can maximize profitability when they have long consistent production runs. Our barge personnel did a great job maintaining productivity and maximizing profitability. The barge orders they received during the later part of 2009 have lower margins than the barges sold prior to 2009. As a result, we expect our barge profitability to decrease dramatically during the first quarter of 2010. Bill will provide guidance in this area. Our Energy Equipment Group’s fourth quarter financial performance reflects the production schedule changes they made to accommodate wind towers customers. The financial effects of this production reshuffling will carry into the first quarter. I am pleased that our Energy Equipment Group was able to maintain its margin levels during the fourth quarter despite decreased revenue. This reflects efforts to increase productivity and control costs. We expect our Energy Equipment Group’s earnings and margins to improve in the second quarter. From a company wide perspective, we’ve worked for years to position our sales to remain very competitive in a variety of economic environments. Our business has been proactive in their planning approaches and are positioned to respond to a variety of economic scenarios. Economic turmoil provides challenges and opportunities and we plan to remain highly responsive and flexible. Our recent acquisition reflects our ability to respond quickly as opportunities surface in our markets. During down cycles, we have historically strengthened our portfolio of businesses and we believe there will continue to be additional opportunities to do so. I’ll now turn it over to Steve Menzies for his comments.
D. Stephen Menzies: Thank you, Tim. Good morning. The combined fourth quarter and 2009 operating results for the Rail Group and Leasing Group reflect the benefits of our evolving integrated manufacturing, leasing and business services model. While demand for railcars remained weak during the fourth quarter, our lease fleet performed very well during stressful market conditions. Trinity Rail’s new railcar shipments continued to decline during the fourth quarter. We shipped approximately 1,350 railcars and approximately 715 of these new railcars were shipped to customers of our leasing company. Industry shipments during 2009 totaled approximately 21,900 railcars compared to 61,220 in 2008. Independent forecast reflect further reduction in industry shipments in 2010 and potentially 2011. We are anticipating that Trinity rail were ship approximately 400 to 600 railcars during each of the first and second quarters of 2010. Demand for new railcars continue to be weak across most major railcar types. Industry orders for new railcars totaled 2,820 during the fourth quarter and approximately 8,340 for 2009. Industry backlog is approximately 10,460 railcars. We expect continued low level of demand for new railcars until the large overhang of idle railcars is reduced. And economic recovery was sustained, industrial production growth is necessarily before this will occur. Order inquiries and railcar loadings do not currently indicate a meaningful recovery in industrial production levels. We are prepared for an extended downturn in railcar building. With the growth of our leasing business and the performance of Trinity's multi industry portfolio, we are able to operate our rail business tightly different than we did during the last railcar cycle downturn. We are able to be more selective in the orders that we aggressively pursue. This market is highly competitive and we are closely reviewing potential new railcar build orders to ensure they met our requirements. During the fourth quarter, TrinityRail received orders to build approximately 510 railcars. At the end of the fourth quarter, our new railcar build order backlog was approximately 2,320 railcars and approximately 61% of our backlog is committed to customers of our leasing business. We benefited during 2009 from our integrated railcar manufacturing leasing and services business model. The stable earnings from our leasing and services business has partially offset the impact of severe decline in railcar manufacturing. Total leasing segment revenues declined only slightly in 2009 from 2008 mainly due to a reduction in railcar sales from our lease fleet. Revenue from leasing operations grew approximately 5% in 2009, mainly attributable to the addition of more than 4,600 railcars to our lease fleet and sustained high fleet utilization throughout the year. Leasing segment operating profit declined only slightly during 2009 as compared to 2008. At the end of 2009, our lease portfolio totaled more than 15,000 railcars. The TRIP fleet totals approximately 14,740 railcars. Our lease fleet utilization reached a low of 96.4% during the second quarter of 2009 and gradually increased during the second half of the year, finishing 2009 at 97.8%. I am very pleased with the performance of our commercial team in working with our customers to achieve such strong utilization. Renewable rates decreased throughout 2009. We now see the rate of decreased in renewal rate slowing. This is consistent with the improvement we have experienced in fleet utilization, which is usually a precursor to stabilizing lease rates. We have been successful in renewing and assigning railcars on shorter lease terms during the downturn, and expectation of re-pricing these leases in the future in a stronger market. As a result, our average remaining lease term declined to 3.8 years at the end of 2009 from 4.5 years at the end of 2008. We continue to be encouraged by developments in the bio-fuel sector. Production of ethanol has come into better balance with market demand. Bio-fuels is an important market segment within our leased portfolio. The EPA has postponed its ruling to increase gasoline oxygen blending requirement until May pending further analysis and testing. A decision to increase blending requirements and with more ethanol production coming on stream later this year to meet growing renewable fuel standard requirements, we believe demand for railcar serving the ethanol market will show further improvement throughout 2010. The demand for distilled dried grains, a co-product of ethanol production, used as protein-rich feed supplement, continues to grow as well. Record export demand has driven DDG production expansion. In summary, some key indicators show we may have reached the low point for railcar demand. However, there is a lack of sufficient economic indicators pointing toward a sustainable recovery. The solid performance of our leasing and services business is providing an important offset to the cyclicality of our railcar manufacturing business. I'm very pleased with the high fleet -- lease fleet utilization we have been able to achieve. This reflects the growth in our growth in our customer base and the strength of our relationships. The composition and diversification of our leased portfolio and our strong commercial team have been key to maintaining strong lease fleet utilization in this highly challenging and competitive market environment. Our railcar manufacturing business is responding to targeted railcar building opportunities that meet our pricing and return requirements. We are positioned to respond any general increase and demand for new railcars. I’ll now turn it over to Bill McWhirter.
William A. McWhirter II: Thank you, Steve, and good morning everyone. My comments relate primarily to the fourth quarter of 2009. I'll also provide detailed guidance for the first quarter and full year of 2010. We will file our Form 10-K this morning. For the fourth quarter of 2009, we reported earnings of $0.19 per diluted share. This compares with $0.54 per share in the same quarter of 2008. Revenues for the fourth quarter of 2009 were $508 million. Moving to our rail group, revenues for this group decreased on a quarter-over-quarter basis by 78% to $142 million. Margin results for the rail group were a loss of 6.6%. Looking forward, we anticipate the rail group will report an operating loss of between $10 million and $12 million in the first quarter of 2010. The rail group backlog as of December 31, 2009 consisted of approximately 2,320 railcars with an estimated sales value of $195 million. Our railcar leasing and management services group reported revenues of $87 million compared with $120 million in the same quarter 2008. Operating profit for the fourth quarter was $31 million as compared to $35 million in the fourth quarter the previous year. The decline in the fourth quarter revenue and operating profit resulted from a decrease in the number of railcars sold from the fleet. In 2009, net additions of railcars to lease fleet totaled $196 million. For 2010, we anticipate approximately $150 million to $175 million in net fleet additions. Now, turning to our Inland Barge Group. The Inland Barge Group’s fourth quarter performance was once again strong, with revenues of $120 million and operating profit of $29 million. Operating profits for the year were a record $125 million. We received $90 million in barge revenues during the fourth quarter resulting in a backlog of approximately $319 million at December 31, 2009. We anticipate inland barge revenues of between 90 and $100 million in the first quarter. The operating profit margin for this group is expected to range between 15 and 18% for the same period. Now moving to the Energy Equipment Group, during the fourth quarter, this group's revenue declined quarter-over-quarter by 29% to $114 million. Operating profits were 14.1 million resulting an operating profit margin of 12.3%. The backlog for the wind tower business remain healthy at approximately 1.1 billion as of December 31, 2009. Revenues for this group are expected to be approximately $80 million to $85 million in the first quarter. Margins are anticipated to decline to between 7% and 10% in the first quarter as we manufacture less profitable orders from our backlog and adjust production schedules to meet customers’ needs. We expect the wind tower business will contribute $330 million to $350 million in revenue for the year. Revenues for the Construction Products Group declined 24% compared to the same quarter of the previous year due to the over all slow down in construction related spending. This group reported operating profits of $5.5 million for the margin of 4.8% in the fourth quarter. In 2010, we expect the acquisition of Quixote will add about $60 million in revenue. Moving to our consolidated expectations, in 2009, we had non-leasing capital expenditures of $47 million. Our current forecast is approximately $40 million in 2010. We anticipate earnings per share for the company to be approximately breakeven in the first quarter. For 2010, we anticipate our full year earnings will range between $0.35 and $0.55 per diluted share. The decline in anticipated earnings when compared to 2009 is primarily driven by reduced profits in our barge and railcar segments. As James mentioned earlier, due to a new accounting pronouncement, TRIP will be included in our consolidated financial statements as of January 1 of this year. Note 6 of the10-K that we will file today is explains the effects of implementing this pronouncement. Financial statements included in the 10-Q for March 31 will reflect the new accounting method. Neither the activities of TRIP or our rolling TRIP has changed. This change of presentation is due to a new accounting announcement. As a result of this consolidation, revenues for the leasing business are expected to increase by approximately $110 million. Operating profit will increase by approximately $60 million and interest cost will grow by approximately $48 million for the year. The effect is that consolidating TRIP does not result in the change to profitability as compared to the previous method of accounting. At this time, I will turn the presentation back to James for the question-and-answer session.
James E. Perry: Thanks, Bill. Now, our operator will prepare us for the Q&A session.
Operator: Thank you. (Operator instructions) And we will take our first question from Steve Barger with KeyBanc Capital. Please go ahead.
Steve Barger – KeyBanc Capital Markets: Good morning.
Timothy R. Wallace: Good morning.
Steve Barger – KeyBanc Capital Markets: Now that you’re consolidating TRIP, are you going to give us any additional information on utilization rates and lease life or any other metrics that we can kind of think about relative to the internal lease fleet?
Timothy R. Wallace: Bill, will you handle that?
William A. McWhirter: Yeah. Steve, in today's call, we are not going to provide any more metrics. As we go through our Q, I am sure that will be more disclosures related to TRIP. We still need to finalize that through our audit committee.
Steve Barger – KeyBanc Capital Markets: In the past I think you said that the internal metrics probably look relatively look relatively similar to the internal lease fleet. Is that true, are there any big differences that we should be thinking about in the TRIP portfolio relative to Trinity Leasing?
William A. McWhirter: No, I think that's very true still today.
Steve Barger – KeyBanc Capital Markets: Okay. For the railcar, Steve mentioned that you are being more selective on orders, does that just mean you're not taking orders in order to keep the factory working, if you cannot make money on the deal, or can you kind of give us some additional detail?
Timothy R. Wallace: Well, I guess -- this is Tim, let me go ahead and comment on this, because it really applies in all of our businesses. In down markets, there's strategic buyers of the products that we have. And our experience has been, when they are out in the marketplace trying to make either large purchases or select purchases that a lot of times, the contracts or the agreements end up being more in favor of the purchaser than they do to seller. And so we are just being a lot more deliberate during this down cycle. And how we pursue specific orders where we’ve set up some criteria that we say let's analyze the risks associated, the benefits that are associated, and everything that is in that particular area. And so Steve, you want to comment on more on yours?
D. Stephen Menzies: Oh, Sure. With the manufacturing footprint down, we are looking for orders with low execution risks, orders that require minimal production line setups, and we are also finding that customers in the down market are driving some pretty tough terms and conditions that introduce some unusual risk into a transaction. And we are not going to sign up for those risks and take on those type of exposures just to keep our factory running. So I think we are much more discerning in our decisions about what orders we are pursuing and what orders we intend to build.
Steve Barger – KeyBanc Capital Markets: Since you guys make every car type, do you still feel like you are getting a fair look at all the deals that are out there?
D. Stephen Menzies: Absolutely. I am very confident in the market exposure that we are receiving from our fuel sales organization of the breadth of inquiries that we receive.
Steve Barger – KeyBanc Capital Markets: And so inquiries, are they picking up generally? A competitor of yours announced that they got a decent size order today, is there any sign that more could follow from that or is it just basically one off kind of deals right now?
D. Stephen Menzies: Well, at this point, Steve, I would say they are one off deals. We have seen a major railroad look to make some purchases and we -- but basically we still continue to experience weak demand in new railcar types across the board. I would expectant you may see an occasional large purchase and trying to take advantage of the trough of the market, but I don’t see any clear trends towards being a sustainable recovery in railcar demand.
Steve Barger – KeyBanc Capital Markets: Okay, thanks. One more for Bill and I will get back in line. You have got a great cash balance right now, are you are starting, as you are seeing deal books come across your desk, are the multiples reasonable or should we think the Quixote deal is kind of unique in the sense that you were able to get it done the way you did and we shouldn’t expect that much in 2010 in terms of acquisitions?
D. Stephen Menzies: Well, I think, Steve, every case is a little different. Quixote obviously was a very special case in that it was a company that fits very well with Trinity. It’s a company that we have admired for a long time, as Tim said, and it brought a lot of things to the table, a international reach, a research and development and just a broadening of the portfolio. So it was a special acquisition. We certainly see them with high multiples or low multiples, but we continue to be opportunistic and look at each one.
Steve Barger – KeyBanc Capital Markets : All right, thanks. I will get back in line.
Operator: Thank you. And we will take our next question from John Mims with BB&T Capital Markets. Please go ahead.
John Mims – BB&T Capital Markets: Hey, good morning, guys. Looking at the age of the fleet, did you provide that number or can you -- age of the railcar...
D. Stephen Menzies: The age of our fleet?
John Mims – BB&T Capital Markets: Yeah, of the railcar lease fleet?
Timothy R. Wallace: No. Steve, you didn’t provide that, did you?
D. Stephen Menzies: We didn’t, and the average age of our fleet is 5.3 years.
John Mims – BB&T Capital Markets: And then will that -- when you consolidate TRIP, will that roll in and change that number materially?
William A. McWhirter: Yeah, this is Bill. Our expectation at this time is that we will probably give you stats for TRIP and stats for TILC. I don’t know that we would consolidate to the two. TRIP would be a little younger fleet.
John Mims – BB&T Capital Markets: Of course, the TRIP is younger, okay. Can you provide some color on the manufacturing capacity, I mean if you have plans to shutter additional places in 2010 or how you are looking of that?
Timothy R. Wallace: Well, I guess you are talking about manufacturing capacity across our company, and I really feel like we are at a place where, in the railcar business, we’re really in the trough of the market and our barge business, we continue to receive steady orders. Our wind tower business is receiving some orders and so, our railcar business is really the primary -- the railcar manufacturing is the primary business that we have, taking drastic steps to reduce the forces. I don’t really see that we have a whole lot further to go. The market could continue to go down a little bit more but I think Steve in his scenario planning with his people have pretty worked through numerous different scenarios, so we're prepared if it increases and were prepared if it decreases.
John Mims – BB&T Capital Markets: Okay, thank you for that. And can you take, can you break out the railcar backlog a little bit for me as far as by car type? I know you can’t bring it down completely by car type but just the timing of what you may see in 2010 or how long of a timeframe this backlog has?
Timothy R. Wallace: Well, we don’t really disclose our backlog, especially at this level. Statistics get pretty skewed because you can have one order that you get that will shift it from place to place. And Steve, are there any comments you have on that?
D. Stephen Menzies : No, we do have some our backlog that extends in 2011 but majority of it is in 2010.
John Mims – BB&T Capital Markets: That's helpful. And then one last one and I will past it back. The margin on the cars that you are making for the lease fleet versus the third party purchasers, can you talk about that some?
William A. McWhirter II: The margin on the cars to the lease fleet are representative of the margin going to the third parties. There are some accounting rules on what you can consider cost that are a little bit different, so that it would lead you to have a slightly higher margin. But keep in mind, whatever that margin, it is eliminated. And so at the end of the day, the car really transfers on a cost basis to our leasing companies in a consolidated pitch [ph].
John Mims – BB&T Capital Markets: All right, thanks for the time.
Operator: And we'll take our next question from Alex Blanton with Ingalls & Snyder. Please go ahead.
Alexander Blanton – Ingalls & Snyder: Hi, good morning.
Timothy R. Wallace: Good morning.
Alexander Blanton – Ingalls & Snyder: In your conversation with railcar customers, what are they telling you about their outlook, why they are ordering so few cars right now, just a little more color on what that particular market looks like? This is the biggest decline in business since 1982, so it's pretty dramatic.
Timothy R. Wallace: Steve, why don’t you take that?
D. Stephen Menzies: Sure. Alex, our business closely tracks industrial production. Industrial production is down dramatically. What recovery we've seen thus far seems to be largely related to inventory rebuild by some of our customers, where they need equipment to be able to replenish inventories. During late 2008, 2009, customers got rid of the cars that they did not need in their fleets. They pared back as much as possible and they are still very cautious in making long term commitments, whether to buy or lease equipment to lease railcars into their businesses until they see more clearly where their production levels are going. And again right now, what we are hearing from customers is a lot of the increase in their production has been to be replenish inventories. Whether that’s sustainable or not still remains to be seen for us.
Alex Blanton – Ingalls & Snyder: You say replenish inventories, to replenish inventories, people would have to produce more than is being sold at retail. You can have some effect if you just have a lower inventory reduction. But in any case, what is going on here is not a reflection, what we're seeing in terms of industrial protection coming back over the last few months doesn't seem to be an actual improvement in end market demand, but simply a lower inventory reduction, is that your observation?
Timothy R. Wallace: Alex, I am not sure that we can…
Alex Blanton – Ingalls & Snyder: I am talking about…
Timothy R. Wallace: And what Steve had said, our customers give us various feedback on making their -- when you buy a railcar, you are making a long-term decision. So you sign up, so some of the short-term things that you are talking about have to play into their capital planning.
Alex Blanton – Ingalls & Snyder: I am not really talking about your customers’ inventory of railcars, I am talking about their customers’ inventory of product. Separate there shipping, it may just reflect, there may be an uptick in their shipments, but it's just because there is a lower inventory reduction out there in the factories. Isn’t that the case?
Timothy R. Wallace: I think that is what we are seeing, Alex, is that we don't know or we don't see enough evidence that a sustainable recovery in industrial production is underway.
Alex Blanton – Ingalls & Snyder: Okay.
Timothy R. Wallace: Other dynamic that impacts our business is the significant overhang of idle cars in the railcars markets. So that idle fleet has to be absorbed before we are going to see any meaningful increase in railcar production. That over hang is different for different markets, for different car types serving different end use market. So sometimes, it is a little difficult to talk in broad generalities.
Alex Blanton – Ingalls & Snyder: Okay, great. Thank you.
Operator: Thank you. (Operator instructions). We will take our next question from John Parker with Jefferies. Please go ahead.
John Parker – Jefferies & Co.: I know this question has sort of been asked already, but I am wondering if you can give us a little more color on where you are seeing orders? It seems to me with all the idle railcars, you would wonder why there are any orders at all? So are there any scenarios you can discuss where certain types of railcars are showing order activity or where certain situations are driving people to give you orders in this environment? And I will be curious to hear your thoughts on that both for railcars and for the inland barges as well.
Timothy R. Wallace: Steve, why don’t you take the railcars?
D. Stephen Menzies: Sure. John, what we are seeing in orders right now are what I would might term specialty cars, they are serving special needs of our customer, perhaps unique products, they may be serving unique replacement opportunities for older cars, and not all manufacturers make all specialty care types. So that does drive a little bit the order levels in the market share number that will bounce around here from quarter-to-quarter at these low levels. But the major car types, the bigger parts of the North American, we just don’t see at this time demand for those products, and we expect low railcar building in 2010 and most of those cars will be what we would term specialty railcars. Tim?
Timothy R. Wallace: That’s fine.
D. Stephen Menzies: I think he had a question about barges.
Timothy R. Wallace: On barges, I think it’s the same type of situation that Steve had said. It’s special situations with customers that have needs for either contracts that they received to transport products or they are replacing older barges that they have. And so, fortunately, our commercial people have great relationships with their customers and they are using the same type of efforts that I mentioned earlier where they are being very deliberate in determining which orders that we pursue aggressively in the marketplace, and we have been fairly successful in our barge business of keeping a sustainable level of order so we can maintain the continuity.
John Parker – Jefferies & Co.: Okay, that’s all I have for now. Thank you very much for your help.
Operator: We will take our next question from Steve Barger with KeyBanc Capital. Please go ahead.
Steve Barger – KeyBanc Capital Markets: Hi, I had to jump off for a second, so just let me know if you have covered this, but can you go through again any unusual mix issues in the rail group that allowed you to get the sequential margin improvement. And I know you gave guidance on the operating loss for 1Q 10 but trying to get sense for as production steps down again, where you think operating margin kind of settles out, or the operating loss I should say?
Timothy R. Wallace: The guidance for Q1 was a loss of $10 million to $12 million.
Steve Barger – KeyBanc Capital Markets: Right.
Timothy R. Wallace: Obviously, we are not at the same production rate coming into Q1 that we are in Q4 based on the backlog. So I think that margin kind of widens out, that margin loss widens out a little bit.
Steve Barger – KeyBanc Capital Markets: Right. Okay. And so at some point there, you just lose the ability to continue to cut cost as that volume declines?
Timothy R. Wallace: That's right.
Steve Barger – KeyBanc Capital Markets: And anything on the input cost, are you seeing steel prices remain relatively stable for plate or can you talk to us a little bit about what's happening there?
Timothy R. Wallace: Yeah, I’d call it relatively stable. There has been a little bit of upward pressure on plate in the marketplace but relatively stable overall.
Steve Barger – KeyBanc Capital Markets: Okay. And are you able to lock in any contractual prices for whatever low visibility you might have for orders or you buying pretty as needed?
William A. McWhirter II: Our steel guys did a really good job of kind of giving us a cost coverage technique that we do some spot buy, we do some contract buy. And then we do some buy that are very specific to a particular job, so it's a mix, but they do a really good job of working with the mills to get us the products that we need.
Steve Barger – KeyBanc Capital Markets: Okay, great, thanks.
Operator: We'll take our next question from Marty Pollack with NWQ Investment. Please go ahead.
Marty Pollack – NWQ Investment Management Co: Yeah, couple of questions, first on the rail manufacturing, clearly your guidance suggest shipments done from the fourth quarter alone, about 60% in Q1 near, and yet profitability was a loss, stays the same. I mean it seems implicit in this is just virtually no decremental margin in your commentary, if so can you describe in the real business the cost take out that is still coming that allows you to maintain at least the loss from getting much wider, and whatever other action you are doing in terms of foot print there? So certainly margins will go down but that's not to support is the fact that decremental profits just essentially there is a decline.
Timothy R. Wallace: Bill, why don’t you take that?
William A. McWhirter II: Yeah, I think it coming off the fourth quarter at 1,300 units we started to reach pretty close to the bottom, and so we guide out that 10 to 12 million loss in the first quarter. You'll see in the K that is being filed this morning, the annual depreciation on our rail business is about $25 million a year, and that's the fixed cost basis. Trinity historically has done a nice job on the cost side. We watch our variable costs very, very closely and I think that's how we are able to not have a huge widening out of the margin gap as we go forward. But obviously, as sales continue to decline, that margin gap will grow.
Marty Pollock – NWQ Investment Management Co.: Yeah. What is it that you are doing as you're losing these revenues, and in a significant way, if we just go to Q1 that allows you essentially maintain virtually no change in the loss, the nominal loss?
Timothy R. Wallace: I think number one, unfortunately, is that our rail guys have done a really nice job of matching the workforce to the product flow that’s gone through the system. And so we had reduction in workforce and variable cost associated all of our plans were possible. So cost cutting has been a major effort throughout 2009 and into 2010.
Marty Pollock – NWQ Investment Management Co.: And in terms of number of employees, fourth quarter where shipment were again 1,300 shipments, might go down 4,600 [ph] in Q1. The number of employees involved I mean are we saying is there another step down on that employee workforce in Q1 or is there something about the mix that does whatever you're selling more profitable?
Timothy R. Wallace: Well, Marty, this is Tim Wallace. As far as number of employees go, we don't publish that information public. Is it in the…
D. Stephen Menzies: In the K coming out, you will find the employee count probably page five or six and rail group is down to about 1,500 employees at the end of the year.
Timothy R. Wallace: Okay. At the end of the year.
D. Stephen Menzies: Yes, compared to, to give you a frame of reference, the end of 2008, we were 6,100 employees, so pretty dramatic decline in employee base.
Marty Pollock – NWQ Investment Management Co.: If I may, just on the lease side, okay, so we are essentially got the TRIP consolidated in there. You are a minority stakeholders still, a bit of -- if you could, on the TRIP itself, it looks like your leverage is about 86% in terms of the fleet. What is the likelihood that you will need to make some capital contributions to that business?
Timothy R. Wallace: Yeah, you are right, TRIP is leveraged somewhere around 85%. And as we go forward, I'm sure the capital makeup within TRIP will ultimately change, but at this point in time, we are prepared to comment whether that's an equity layer, a debt layer, et cetera.
Marty Pollock – NWQ Investment Management Co.: Okay. And then with regard to just basic profile of the lease portfolio, assuming that as we looking at the fourth quarter revenues to decline year-over-year, obviously that is fewer sales of the fleet. Ex the TRIP, will pricing pressure, as you are re-negotiating leases, assuming even utilization remains at fairly high levels if that is what it takes to essentially bring down prices, should we assume that lease sales year-over-year, I should say lease revenues ex sales of railcar should be flat to declining, I mean what is that that you are doing to effectively keep those profits at a fairly healthy level, because it does seem to suggest that there may be a need to sacrifice pricing to be able to maintain that utilization rate high?
Timothy R. Wallace: Steve?
D. Stephen Menzies: Yeah, Marty, clearly lease rates declined during 2009. As I said, renewal rates declined. We have seen the rate of decline in those lease rates and our renewal rates easing, so we are actually starting to see some firming up in some of the most volatile of markets. It doesn’t necessarily mean that lease rates are going to increase, what it means is that the rate of decrease is slowing. We typically stayed short in our lease terms, so we would have a chance to re-price those assets when the market improves, but we expect there is going to be continued pressure on lease rate certainly through 2010.
Marty Pollock – NWQ Investment Management Co.: So should one assume that ex TRIP and ex fleet sales from your portfolio that overall revenues should be declining, or you are offsetting them with more sale and more purchases to the lease portfolio?
D. Stephen Menzies: I don’t know that we want to project what our leasing revenues are going to be based on lease rates, but also keep in mind that we will be adding railcars to fleet during 2010, which will have an obvious revenue impact.
Marty Pollock – NWQ Investment Management Co.: Thank you.
Operator: We will take our next question from Patrick McGlinchey from Sidoti & Company. Please go ahead.
Patrick McGlinchey – Sidoti & Company: Hi, good morning. Of the 400 to 600 cars that you guys are expecting to ship during the first and second quarters, how many of these are earmarked for leasing entities?
D. Stephen Menzies: I think we said 61% of our railcar backlog is headed towards customers of our leasing company.
Patrick McGlinchey – Sidoti & Company: Okay. And just one another question, with regard to the TRIP and railcars going there, is there a number left under contract do be purchased going forward to TRIP?
Timothy R. Wallace: No TRIP is complete with purchasing railcars under contract.
Patrick McGlinchey – Sidoti & Company: Okay. Thank you.
Operator: (Operator instructions). We will take our next question from John Mims with BB&T Capital. Please go ahead.
John Mims – BB&T Capital Markets: Hey, thanks. I had a quick follow up. Looking at the methodology used to value the railcars that are in your lease book, can you talk about like when those are marked-to-market or how often?
Timothy R. Wallace: Bill, go ahead.
William A. McWhirter II: Really, the test is more one of an impairment of an asset and our leased fleet has no impairment of assets. We do that obviously on annual basis or if we feel the circumstances would have changed over a period of time and look at them. Leases are really viewed from a long-term perspective and it's cash flow recovery method, so there is no impairment.
Patrick McGlinchey – Sidoti & Company: If lease rates stay as weak as you are projecting for 2010, you are saying there in no increased risk of an impairment or writedown of the assets in the book for next year.
Timothy R. Wallace: I guess what I'm saying is, based on the current financials that we have in our modeling as we think about the business, we are not concerned about an impairment of our fleet.
D. Stephen Menzies : John, this is Steve. Keep in mind that we still have a small portion of our fleet that are expose to the market in 2010. And I think the fact that when looking at fleet values, it's really as Bill mentioned based on the income method. Our strong lease fleet utilization has really helped support that value of our railcar assets through the downturn.
Patrick McGlinchey – Sidoti & Company: I appreciate the extra color, thank you.
Operator: Thank you. And we'll our last question from Marty Pollack with NWQ Investment Management. Please go ahead
Marty Pollack – NWQ Investment Management Co.: As far as the other business, you projected the barge business decline in Q1. Construction products is also coming off it looks like a tough fourth-quarter on other hand. Can you talk about sequentially -- I mean is the barge business performance in Q1 reflecting a bottom type wanted to environment is what we should project for the full year? I mean is that the level, the type of 15, 18% margin, the $90 million revenue, was that number going lower because the backlog is clearly lower for the full year, it seems that the numbers would be still heading lower than that first quarter number. But are you actually suggesting it’s a low point for that business?
William A. McWhirter II : Marty, this is Bill. No we are suggesting it is a low point for the business and that's really why were only guiding the first quarter at this time. You are dead on that with the backlog of 319 million and a run rate of about 100, we've got to bring new orders in to keep the shops full and to keep that margin. So there obviously is a risk that you could have margin decline as you move forward in the year.
Marty Pollack – NWQ Investment Management Co.: On the other hand, construction products, it seemed like a tough fourth quarter, the consolidation of your new business there, I mean with the stimulus bill, highway type of products, any reason why we should not expect in fact a much stronger performance for that group as the year progresses?
William A. McWhirter II: Well, I think you have several factors to deal with, one obviously is it’s a business that is influenced by weather, so we've got to watch the weather patterns. We had a pretty tough January and February here in Texas with a foot of snow in Dallas, awfully strange. But that being said, we're excited about Quixote coming into our highway product business. We are excited about the stimulus dollars that will flow throughout this business. So, I think the business has opportunity as they look to 2010 to improve the overall earnings.
Marty Pollack – NWQ Investment Management Co.: Okay. Thank you.
James E. Perry: Thank you very much. This does conclude today’s conference call. Remember, a replay of this call will be available starting one hour after this call ends today through midnight Thursday, February 25. The access number is 402-220-0120. Also, this replay will be available on our website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.